Operator: Good day and thank you for standing by. Welcome to Allegro MicroSystems Q2 fiscal 2023 Financial Results. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Leanne Sievers, President of Shelton Group. Please go ahead.
Leanne Sievers: Good morning and thank you for joining us today for Allegro's second quarter fiscal '23 results. I'm joined today by Allegro's President and CEO, Vineet Nargolwala; and Allegro's Chief Financial Officer, Derek D'Antilio. They will provide highlights of our business, review our quarterly financial performance and provide a summary of our outlook. After the presentation, we'll answer questions in the Q&A session. Our earnings release and the accompanying financial tables are available on the Investor Relations page of our website at www.allegromicro.com. This call is being webcasted, and a recording will be available on our IR page shortly. Please note that comments other than statements of historical fact made during this conference call include forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. These forward-looking statements include projections and other statements about future events that are based on current expectations and assumptions, and as a result, are subject to risks and uncertainties and that could cause actual results to vary materially from our anticipations and projections. Please refer to the earnings press release we issued today, and other documents filed by us with the SEC, including the risk factors discussed in detail in our most recent 10-K filed on May 18, 2022 and subsequent 10-Qs. While we may elect to update forward-looking statements at some point in the future, the company assumes no obligation to update any forward-looking information presented, even if our estimates or assumptions change. Also, unless otherwise noted during the call, all references to income statement related financial measures other than sales will be to financial measures not prepared in accordance with Generally Accepted Accounting Principles or GAAP. Please refer to our press release posted to our website for information regarding our non-GAAP financial results and a reconciliation of our GAAP and non-GAAP financial measures. The non-GAAP financial measures that are discussed today are not intended to replace or be a substitute for the presentation of Allegro's GAAP financial results and may be calculated differently than similar measures used by other companies. We are providing this information because it may enable investors to make meaningful comparisons of core operating results and more clearly highlight the results of our core ongoing operations. It's now my pleasure to turn the call over to Allegro's President and CEO, Vineet Nargolwala. Vineet, please go ahead.
Vineet Nargolwala: Thank you, Leanne. Good morning, and welcome to our fiscal second quarter earnings call. Before getting into my prepared remarks, I want to take this opportunity to recognize Allegro's team members in Ukraine. I want to acknowledge the tremendous courage and extend my appreciation for their dedication in the face of very real and ongoing hardship. Our team in Ukraine is an integral part of Allegro's global operations, and we will continue doing all that we can do to support our colleagues and their families during this brutal conflict. Shifting gears to the overall business. We had an excellent quarter that was highlighted by the team's strong execution to meet continued robust demand despite several crosscurrents in the macroeconomic environment. Revenue was another quarterly record at $237.7 million, representing sustained sequential growth and an acceleration of growth year-over-year. Our better-than-expected top line performance in the quarter was largely due to continued momentum in our strategic focus areas of e-mobility and select industrial markets and incremental improvement in supply from our foundry partners. Margins also came in strong on the back of operational execution and favorable foreign exchange. This highlights the substantial operating leverage in our model, contributing to significant bottom line growth. Having now been in the role for 4 months, I want to briefly expand on some of our observations and actions taken to date. On our previous quarterly call, I indicated that my initial plan centered around Allegro getting even closer to our customers, and finding new ways to energize our growth, while also executing better as a team. And that has underpinned the activities of our entire leadership team over the past few months. This has involved meeting with the broad part of our teams and customers including our global sites in Europe, Asia and the America's. In fact, Derek and I just returned from two consecutive weeks of face-to-face meetings with our teams, customers and strategic partners in Asia. These meetings have underscored the tremendous growth available to us and the opportunities to expand our customer relationships. As part of our intent to improve customer intimacy, we have created OEM focused business development teams for both, the automotive and industrial end markets. These global teams will engage directly with OEMs and Tier 1s on hard-to-do and mission-critical problems, leverage our global engineering organization to develop solutions and our partner network to deliver that. We have terrific capabilities across the global team, and we will augment and expand our expertise in specific areas and geographies. For example, today, we are working to establish additional resources in geographies such as Europe and Japan to bring us closer to multiple strategic customers. In further support of this strategy and to accelerate our future growth, we recently completed an agreement to transition our go-to-market approach in Japan that will allow for more direct customer engagement. Going forward, we would directly lead our engagements with Japanese auto OEMs, which is particularly meaningful as the transition to a fully electric future. In addition, we have commenced a series of steps to accelerate our innovation and enhance the execution of our product road map. This includes establishing a new role and the appointment of Mike Duke as our first ever Chief Technology Officer. Mike will lead a dedicated team to incubate new technologies, both organically as well as through partners, in our strategic growth areas and bring proven costs to scale. In conjunction with this appointment, we are also pleased to have Suman Narayan lead the execution of our product road maps and customer programs as Senior Vice President of Products. Suman will work closely with our global sales teams to execute our product strategy in the market, as well as with our operations teams on initiatives to improve the customer experience and expand margins. Also, during the quarter, we successfully closed the acquisition of Heyday Integrated Circuits, an early-stage fabless company. As a reminder, Heyday focuses on the design of fully integrated, isolated gate drivers for applications that leverage high voltage gallium nitride and silicon carbide materials. Heyday not only complements Allegro's existing sensor IC solutions for energy efficiency, it also meaningfully expands our future SAM [ph] to include applications across xEV, solar inverters, data center and broad industrial markets. While we don't expect material revenue contribution in the near-term, we are fully committed to capitalizing on this opportunity and have appointed one of our most experienced executives to lead the scaling of this disruptive technology and bring it to market. At the foundation of Allegro's success, is our focus on secular megatrends that are driving outsized growth with specific end markets that include e-mobility, data centers, clean energy and Industry 4.0. While we are primarily developing new technology platforms for e-mobility, we see a great opportunity to leverage our technology as we solve similar problems for customers in our target industrial markets. And across all these end markets, I see a unique opportunity for Allegro that extends beyond providing superior technology and service, the more profound opportunity to enable our customers' transition to a more sustainable future. Turning to the key highlights for the quarter. We continue to realize growing traction with our new products targeting our strategic growth areas. Design win momentum was strong. Overall demand continued to outpace near-term capacity and we exited the quarter with over a year's worth of order backlog. Our automotive business had another strong quarter with sequential and year-over-year growth, led by accelerated adoption of our IT solutions for xEV inverter and onboard charging applications. Complementing our traction in vehicle electrification, we saw continued customer adoption of our cross portfolio content in ADAS solutions for advanced steering and braking applications. E-mobility which represents our xEV and ADAS applications, expanded to a record 41% of automotive sales in the fiscal second quarter, and we are pleased with the balanced contribution of both, our sensing and power products, to this growth. E-mobility design wins increased 68% compared to fiscal Q1. Of note is the teams work directly with a major EV manufacturer to incorporate Allegro's ICs into one of the newest model steering system. Our industrial business achieved record sales with solid double-digit growth sequentially and year-over-year. Growth was driven by target markets of Industry 4.0, clean energy and data centers. Additionally, data center continues to offer significant opportunities for long-term growth, as highlighted by our two new multiyear design wins in the quarter. From a product line perspective, we continue to extend our market leadership in magnetic sensors as our innovative and best-in-class products are adopted by automotive OEMs, building out the electrified platforms. We are also very pleased with our power IC business, which grew 21% sequentially and almost 50% year-over-year. We continue to make strides with these products' efficiency story, especially in motors. I will now turn the call over to Derek to review the financial results and provide guidance for our fiscal third quarter. Derek?
Derek D'Antilio: Thank you, Vineet, and good morning, everyone. Before we discuss the financial results, I will provide an update on what we are seeing in our business environment. As Vineet highlighted, we had a great quarter with strong growth resulting from our focus on markets that we believe offer long-term secular growth. We continue to see robust demand across our strategic focus areas within both, the automotive and industrial markets. We also once again ended Q2 with more than a year of backlog and extended visibility. While we expect our positive trajectory to continue, we do acknowledge, there is increasing uncertainty relating to the broader macroeconomic environment, including pervasive inflation and clear signs of slowing consumer demand. Similar to many peers, we have noted a softening of demand, specific to some of our computer and consumer applications. However, I would like to emphasize that these end markets traditionally represent less than 50% of our total sales in any given quarter. That said, we continue to be very vigilant and proactively monitor a series of leading indicators for potential changes in demand and supply dynamics across each of our end markets. We regularly review key metrics, including design wins to ensure our pipeline remains robust, and we continue to have extended visibility into the future, bookings and cancellations, and inventory levels at our distributors and at our end customers. We have seen some increases in inventories at individual distributors and in certain regions. However, weeks on hand is still well below targeted in pre-pandemic levels. In addition, based on recent and ongoing discussions with our OEM customers, we do not believe they are building inventories of our products. In order to further confirm the integrity of our backlog and ensure that we are shipping the majority of our products into production, we recently opened our reschedule and cancellation window to allow customers with past due orders or orders shippable beyond 180 days to reschedule or cancel orders with certain parameters. This action in Q2 did not significantly change our overall backlog. Further, cancellations and rescheduled orders were largely within our other end markets such as the computer and consumer segments in the broader industrial market. We believe this is a good health check of our backlog that helps us with efficient order schedule. From a supply perspective, we still expect 200-millimeter wafer supply to remain tight for the remainder of our fiscal '23. Our supply chain teams continue to work very closely with our fab partners on improvements in future capacity for FY '24 and beyond. In Q2, we are pleased that our wafer ramp with TSMC is progressing well and about a quarter ahead of schedule. And as a result, our shipments in the quarter exceeded our guidance range. Now turning to Q2 results. Please note that all income statement related measures except sales are stated here on a non-GAAP basis. In Q2, we achieved record sales of $238 million. Our gross margins were 56.2%, OpEx was 28.3% of sales, and EBITDA was 33%. Our business model continued to deliver strong operating leverage with sequential operating income growth of 20%, more than 2x the growth in sales, and EPS was $0.31 per share. Sales in the second quarter increased 9% sequentially and 23% compared to Q2 of fiscal '22. Sales were above the high-end of our guidance range as a result of the incremental supply from our foundry partners and solid execution at our internal assembly and test facility. Automotive sales increased 5% sequentially and were up 25% compared to Q2 of the prior year. Within automotive, xEV and ADAS or e-mobility represented 41% of sales, up from 35% a year ago. Industrial sales increased by 20% and were up 33% versus last year. We saw sequential growth in all areas of our industrial market, including data center, which increased another 13% sequentially and around 230% compared to Q2 of fiscal '22. Other sales, which include the computer, consumer and smart home applications also increased in terms of shipment and sales to $32 million and were approximately 14% of sales in the quarter. Sales through distribution continue to be robust and with 37% of sales in the quarter, consistent with Q1. Sales by geography were again well balanced with 26% of sales in China, 19% of sales in Japan, 24% in the rest of Asia, 17% in Europe and 14% in North America. Now turning to profitability. Gross margin in the quarter was 56.2%, exceeding the high-end of our guidance range. Gross margins included a benefit of approximately 120 basis points from favorable foreign exchange which we expect to continue into Q3. Excluding foreign exchange, gross margins were at the high-end of our guidance range and on our previously stated operating model of 55%. Operating expenses were 28.3% of sales compared to 29.6% in Q1, contributing to our increasing operating leverage. We continue to invest in innovation, particularly in research and development, and sales in our strategic focus areas. Both R&D and SG&A expenses represented approximately 14% of sales, each in the second quarter. Operating income increased to 27.9% of sales compared to 25.3% in Q1 and 24% in Q2 of fiscal '22. Our operating margin increased by 380 basis points compared to a year ago, continuing to demonstrate the leverage in the model. Our effective tax rate in the quarter was 10%, and we expect our full year non-GAAP tax rate to now be 12%. This is lower than our previous guidance of 14% to 15% due to recent state tax changes. The Q2 share count was 192.6 million shares. Net income was $59.8 million or $0.31 per share, an increase of 27% sequentially on a comparable sales increase of 9%. Moving to the balance sheet and cash flow. We ended Q2 with cash and equivalents of $303 million. In terms of working capital, DSO in Q2 was 46 days compared to 51 in Q1, and days of inventory were 85 days compared to 81 in Q1, still below our target of around 110 days. From a cash flow standpoint, cash flow from operations was $56 million; capital expenditures, largely for assembly and test capacity was $21 million; and free cash flow was $35 million. Finally, turning to our Q3 outlook. We expect sales to be in the range of $240 million to $250 million. In Q3, we expect auto sales to grow slightly above the midpoint of that range. Industrial to be in line with the midpoint and sales through our other markets could be flat to down sequentially. We are also increasing our sales growth expectations for FY '23 to approximately 24%, up from our previous guidance of 20%. From a profitability standpoint, we expect gross margin in Q3 to be approximately 56%, which includes projected favorable foreign exchange into our third quarter. Additionally, we expect operating expenses to be approximately 28% of sales, which includes the first full quarter of expenses associated with the acquisition of Heyday. For Q3, assuming no changes to tax legislation, we expect our tax rate to be 12%, and we expect that diluted share count to be approximately 193 million shares. Based upon these assumptions, we anticipate earnings per share to be in the range of $0.31 to $0.33 per share. I will now turn the call back over to Vineet. Vineet?
Vineet Nargolwala: Thanks, Derek. We are pleased to have delivered record performance this quarter. As previously mentioned, I believe Allegro is at a key inflection point with an incredible opportunity to scale the company. We have a great product portfolio and considerable engineering talent, and there is a very real opportunity to do even more with what we currently have. The markets and applications that we serve are underpinned by strong secular trends, which we believe will continue to expand and drive growth for Allegro in both, the near term and over the next decade. We acknowledge the challenging crosscurrents in the global economy and have reinforced our situational awareness and management operating system to monitor leading indicators and respond to any changes. That said, we continue to be very positive on our growth expectations as reflected by our third quarter guidance and increased revenue outlook for fiscal '23, and we are confident in Allegro's ability to outperform underlying markets as we execute our strategies. With that, we will be glad to take your questions. Leanne?
Leanne Sievers: Thank you, Vineet. That concludes management's prepared remarks, and we will now open the call for questions. Operator, could you please review the instructions for asking a question and initiate the Q&A session?
Operator: [Operator Instructions] Our first question comes from the line of Gary Mobley with Wells Fargo. Your line is open.
Gary Mobley: Good morning, everybody. Thanks for taking my question. I want to start up by asking about the new revised growth projection for the fiscal year '24 versus '20? It sounds like the incremental contribution or upside, I should say, is coming from additional supply mainly from TSMC, I presume or maybe UMC as well. Maybe if you could just speak to that and as it relates to the outlook into the next calendar year, to what extent is near-term sales being, I guess, governed by lack of supply? And how do you see incremental supply coming on as we progress through the conclusion of this calendar year and as well into next calendar year?
Derek D'Antilio: Yes, Gary, this is Derek. Thank you for the question. So within this fiscal year, we still see constrained on the 200 millimeter, and we continue to get some incremental supply. We're about a quarter ahead with TSMC, which allowed us to ship ahead a little bit in Q2 here, above our guidance range. We are working on incremental supply with -- and we're at about the wafer receipts level on a run rate with TSMC, which turns into full shipment about a quarter later. So that will factor into our Q3 and Q4. We have been able to get some incremental supply from some of our other partners here for the remainder of fiscal '23, and that's really what's driving this increase from the 20% to 24%. And that's what's been driving it all year when we started with the year just below mid-teens and raised that to 20% and now to about the 24% range. That's really all the incremental supply. The backlog and the demand hasn't really changed, other than the pockets that we talked about. Going into fiscal '24, our supply chain teams are really working pretty diligently with all of our partners on incremental supply, and we're working to align that now with -- certainly, with our past due backlog and to align that with demand.
Gary Mobley: And my follow-up question, I want to ask about your exposure to China from an end-market perspective from a domestic China production standpoint. Curious if you can share with us your best sense of the exposure there with respect to your supply chain and just general China consumer-related demand and the impact that you may experience because of COVID mitigation, export restrictions and all the different headwinds that U.S. companies seem to be dealing with, with respect to China.
Derek D'Antilio: Yes. Gary, I will start with the supply side, and Vineet can talk a little bit about the demand side in China. But our sales in China were pretty robust this quarter. They were 26% of sales. And on the supply side, we do use a subcontractor in China. It's a relatively low percentage of our overall subcontracting. About half of our assembly is done in-house in the Philippines at our facility. The other half is done at subcontract as most of those subcontractors are either in Malaysia or the Philippines, there is one in China to support our Chinese customers. And I'll let Vineet talk a little bit about demand in China.
Vineet Nargolwala: Sure, Gary. What I would add is that demand in China continues to be really strong across our target markets. In automotive, I think everybody is aware, China is already the leading manufacturer of EVs, electric vehicles. And so we're getting great take rate for our products as those platforms continue to grow and ramp. We're also seeing great progress in Industrial 4.0 or factory automation, where increasing automation in the factories in China is resulting in higher take rate for motion control products as well as on clean energy with EV charging. You also had a question in there around sort of the export climate for China. And obviously, it's an area that we're watching very closely. The export restrictions into China -- involving China have been fluid for a few years. At this point, we believe the actions taken largely target advanced computing and other advanced semiconductor items. Our products are not falling under those regulations today. And given the nature of our supply chain activities and products, we don't expect that these new controls will affect us here in the near-term.
Gary Mobley: Thank you.
Operator: Thank you. And our next question comes from Joshua Buchalter with Cowen. Your line is open.
Joshua Buchalter: Hey, guys. Thanks for taking my question and congrats on the great results and execution. I wanted to double click on gross margins, which improved materially sequentially in the quarter and are expected to sustain in the guidance. I know you called out, FX is providing a tailwind. But anything underneath the hood, whether it's pricing or mix, it also contributed as we sort of try to understand how sustainable these levels are, or was it more -- anything on the cost side as well. Thank you.
Derek D'Antilio: Yes, Josh, this is Derek. Good question. So going from Q1, where we finished at about 54.9% non-GAAP gross margins of 56.2%, that was largely FX kind of when you net everything else. But within that, there's quite a few things that can move gross margin around. Average ASP and mix is probably the biggest determinant of our gross margin right now. And on the cost side, inflation continues to persist. So we have had pricing throughout the year and throughout last year. But actually, going from Q1 to Q2, pricing was a relatively insignificant portion of that increase in both, sales and gross margin was almost likely volume, and the gross margin piece was largely foreign exchange when you net out the other pieces.
Joshua Buchalter: Got it. Thank you. And I wanted to ask about the banking distribution agreement. In particular, can you walk us through why now was the right time to end that agreement? And I know you talked about the opportunity to work more directly with OEMs. But should we expect you to add any other distribution partners in Japan? And what does this do, I guess, to the long-term opportunity within Japan? Thank you.
Vineet Nargolwala: Sure. Happy to take that, Josh. As I stated in my previous earnings call, our goal is to develop more customer intimacy to really be close to the customers as they tackle some of the hardest problems in the transition to an electrified future. Our change in Japan is a direct result of that initiative. And what it allows us to do is, bring our engineers even closer to our customers' engineers as they start to build out electrified platforms and really transition their entire portfolio to an all-electric future. You must have seen some reports coming out of Japan around the Toyota Group making, wrapping up their latest EV platform and also contemplating a change in strategy to an all-electric future. The good news there is that we are very close to all of the suppliers that are enabling that transition. And this change would allow us to be even closer to the engineering teams as they build those platforms out. So we're really excited about the change. We've been very pleased with the partnership with Sanken so far, and they'll continue to be supporting on for us. But this change is more about our engineers becoming more directly involved and engaged with our customers' engineers going forward.
Joshua Buchalter: Understood. Thank you, I will hop back in the queue.
Operator: And our next question comes from the line of Blayne Curtis with Barclays. Your line is open.
Blayne Curtis: Hey, good morning, and great results. Maybe I'll start with just following up on my last question. In terms of the transition, is that a wash, a headwind or a tailwind? I mean, obviously, I'm assuming you've got to ramp down thanking and then put that product somewhere else. So sometimes that has an effect. I'm just curious if we should be thinking of anything for you.
Derek D'Antilio: Yes. This is Derek, Blayne. And from a sort of a profitability standpoint, it's a wash. There might be a little bit of geography between the gross margin line and the OpEx line as we start to bring some of the folks on board there to directly support our customers, and we expect it to be actually an increase eventually on the top line. That's why we're doing this, to get closer to customers and really improve our EV sales and mobility sales in Japan.
Blayne Curtis: Got you. And then I wanted to ask, I thought I heard you say that power was up 21%. And obviously, you've had a good data center tailwind, but it seems to be a lot larger than that. Can you just comment on the strength in your power products?
Vineet Nargolwala: Yes. Blayne, we're seeing a really good strength across our end markets for our power products. Obviously, data center gets a lot of play. It's a big area of focus for us. But when we look at the application of our gate drivers, onboard chargers, in EV charging applications, in the safety comfort and convenience section of our automotive segment, where our motor drivers go into the HVAC systems as well as in-seat cooling. We're seeing some really high take rates there. So we're really pleased with the progress our Power Products segment has made and we continue to be bullish about its future.
Blayne Curtis: Thanks a lot.
Operator: Thank you. [Operator Instructions] Our next question comes from Alessandra Vecchi with William Blair. Your line is open. 
Alessandra Vecchi: I echo the congratulations on the really strong quarter in this environment. Just one question on the data center to new multiyear design wins you mentioned. How do we think about the products that you're selling into that? Is it -- does it extend beyond 3-phase fans? Or is this a continuation of the strength we've been hearing about for multiple quarters now on that front?
Vineet Nargolwala: Yes, Alessandra, thank you for the question. It is really an extension of the success we've been seeing with our 3 phase -- with our motors with 3-phase fans. The other piece here is the transition to 48:4 as well. So that is also contributing to our success here. And the design wins that we mentioned reflect both those product segments.
Alessandra Vecchi: Okay. And then on the -- as well on the sort of opening of the reschedule and cancellation window, understanding it didn't make much of an impact to the current quarter. Have you seen any sort of decrease or increase in movement through the month of October?
Derek D'Antilio: This is Derek, Alessandra. We have not really -- when we talked about it being a inconsequential decrease in our overall backlog, it was low single digits decrease in the backlog and that includes, of course, having additional bookings, offset by some of the cancellations and rescheduling. So we don't see that having an impact here in the fiscal year '23. And in fact, it's allowed us to really sit back and reschedule some of our own orders internally to make sure we're shipping to the right places and into production and where we have customers asking for things more in the near-term.
Alessandra Vecchi: Perfect. That's really helpful. And then 1 quick last one, if I may, Derek. You guys have done a really good job on the OpEx front, even in the coming quarter with the integration of Heyday and inflation. How do we think about the puts and takes on OpEx as we look to a much higher inflationary environment next year?
Derek D'Antilio: Yes, it's a great question, Alessandra. So we stated in the past, we expect to be able to continue to invest in research and development, first and foremost. And that's where our capital is going right now, into research and development and capacity CapEx. And really within that, we kind of targeted 15% of sales on research and development. We are a little below that right now at about 14%. So I would expect that number could move towards that 15% number if we continue to find the right people, continue to invest in the right technologies. On the SG&A side, I would expect that to go up at but just below inflationary rates, it also includes right now an elevated level of variable compensation, which will reset as we move into fiscal '24.
Alessandra Vecchi: Perfect. Thank you. With that I will go back into queue.
Operator: Thank you. Please stand by for our next question. And our next comes from Quinn Bolton with Needham & Company. Your line is open.
Quinn Bolton: Thanks all. I echo congratulations as well. I guess my first question is, some of your automotive competitors, Melexis and Infineon have both talked about starting to see some movement in backlog for the automotive products that they may not be on allocation. And I guess I'm just kind of wondering, as you look across your automotive portfolio, is there any part of the portfolio where you've seen changes in demand or an increase in cancellations or push that activity?
Vineet Nargolwala: Quinn, this is Vineet. Thank you for the question. So demand continues to stay strong across all of our automotive product segments. And in fact, as we look at our quarter-over-quarter backlog change, our backlog has actually gone up for automotive. So at this point -- and I think we've stated this in the past earnings call as well, it continues to be the same now. We are still shipping into our backlog. And so any sort of changes in the -- near-term changes in the market won't really get reflected in our backlog for some time to come as we continue to be supply constrained. So hopefully that answers your question.
Quinn Bolton: It does. Thank you. For Derek, just a couple of questions. One on the foreign exchange benefit that you're seeing here in Q2, fiscal Q3, any sense if current FX stabilizes at current levels? Does that tailwind just then continue? Or how do you think longer term about those 100 to 120 basis point benefit that you're seeing near-term in FX? And second question, just the 12% tax rate for the remainder of fiscal '23, is that a good working assumption now for fiscal '24? Thank you.
Derek D'Antilio: Yes, Quinn, good questions. Thank you. So on the foreign exchange, we sell the majority of our products in U.S. dollars, and we're buying our largest materials like wafers in U.S. dollars. So there's not a lot of exposure on the top line. Really where the exposure comes from is our facility in the Philippines, the peso, which is in the Philippines peso, which is in the gross margin. All those local expenses are in peso. To the extent the U.S. dollar strengthens, we get that benefit, which you see in our gross margin. So we expect that to continue into Q3. If that went away, all else being equal, that 120 basis points goes away. And that's why I said, excluding that, we're at the high-end of our guidance range and kind of where our target operating model was of 55%. We certainly don't expect to stop there. We do have some relatively minor operating expenses in pockets of Europe and Asia that are also in local currencies right now that we are benefiting a little bit from the U.S. dollar. In terms of the tax rate, yes, the 12% is what we expect currently. And that 12% tax rate, we started the year with about a 16% tax rate. And then when the legislative changes with respect to capitalizing R&D, we end up with a benefit of that, bringing us down to about 14% and then some state tax changes here that are permanent, bring us down to 12%. So all else being equal right now with no legislative changes, would be at 12%.
Quinn Bolton: Great. Thank you.
Operator: Thank you. [Operator Instructions] Our next question is Vijay Rakesh with Mizuho Group. Your line is open.
Vijay Rakesh: Yes. Hi, Vineet and Derek. Good quarter and guide here. Just a couple of quick questions. On the -- when you look at the -- you mentioned top line was being helped to the TSMC ramp. Just wondering what your mix of TSMC would be exiting calendar '22 here and then calendar '23.
Derek D'Antilio: Yes, great question. So it was above 5% on the receipts exiting fiscal year '22. I will use it in fiscal sort of that's the way we think about it. And then exiting fiscal '23, as I've talked about, we expect to be at 15%. We are at that 15% right now on the receipt side of things, we are about a quarter ahead of the receipts, and we expect those to turn into revenue about a quarter or maybe about a quarter and half. So we will be at that level by our Q4, maybe even in Q3.
Vijay Rakesh: Got it. And if you were to roll that forward, would it again, like double year-on-year kind of or …?
Derek D'Antilio: No. We’ve got a commitment from TSMC that we are comfortable with that, that 15% that they are comfortable with and we are comfortable with. And we are right now evaluating our entire wafer supply for fiscal year '24 and beyond with our supply chain teams to look at a combination of capacity for the right technologies, of course, cost and all those factors.
Vijay Rakesh: Got it. And then on the xEV side, just wondering if you could give us some color on your design win pipeline, how is it growing sequentially or year-on-year? I know you mentioned some big design wins. And also, I think you guys talked about Toyota with their move to EVs. But just if you could give some color on how the design pipeline looks, that would be great. Thanks.
Vineet Nargolwala: Yes, Vijay, thank you for the question. We are really pleased with the progress we are making on our overall e-mobility design pipeline. It's a little hard for us to figure out where some of the advanced ADAS functionality is going. But certainly, anecdotally, we hear, it's largely going into EV platforms. So hence, we are talking about xEV and ADAS together. And our e-mobility design wins increased 68% quarter-over-quarter. So we are ahead of our target. We continue to be engaged with all the major OEMs as they are thinking about the next generation electric platforms. We are also working very closely with the tiers. So we feel really good about our position and the competitive aspect of our offering, both around accuracy, robustness, and obviously, the economic benefit we provide to our customers.
Vijay Rakesh: Got it. Thanks.
Operator: I’m showing no further questions at this time. I would now like to turn the conference back to Leanne Sievers for closing remarks.
Leanne Sievers: Thank you, Annie. Before closing out the call, we want to quickly highlight that Allegro will be participating in three upcoming investor conferences. The first of which will be the Wells Fargo TMT Summit in Las Vegas on November 29, followed by the Credit Suisse Technology Conference in Scottsdale on November 30, and then Barclays Global TMT Conference in San Francisco on December 7. For those interested in meeting with management at one of these events, we encourage you to contact the respective hosting firm or the Shelton Group. Thank you again for joining us today, and that concludes this morning's conference call.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.